Operator: Good day and welcome to the Franklin BSP Realty Trust First Quarter 2022 Financial Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please also note this event is being recorded. And now I would like to turn the conference over to Lindsey Crabbe. Please go ahead.
Lindsey Crabbe: Good morning. Thank you, Tom, for hosting our call today. Welcome to the Franklin BSP Realty Trust First Quarter Earnings Conference Call. As the Operator mentioned, I am Lindsey Crabbe, Director of Investor Relations. With me on the call today are Richard Byrne, Chairman and CEO of FBRT, Jerome Baglien, Chief Financial Officer and Chief Operating Officer. Michael Comparato, Head of Commercial Real Estate, and Roy Kim, Managing Director of our Capital Markets Group. Before we start today's conversation, I want to mention that some of today's comments from the team are forward-looking statements and are based on certain assumptions. Those comments and assumptions are subject to inherent risks and uncertainties as described in our most recently filed Form 10-Q and 10K, filed with the SEC, and actual future results may differ materially.  The information conveyed on this call is current only as of the date of this call, May 5th, 2022. The company assumes no obligation to update any statements made during this call, including any forward-looking statements, whether as a result of new information, future events, or otherwise, except as required by law. Additionally, we will refer to certain non-GAAP financial measures which are reconciled to GAAP figures in our earnings release and supplementary slide deck, which are available on our website at www.fbrtreit.com. We will refer to the supplementary slide deck on today's call. With that, I'll turn the call over to Richard Byrne.
Richard Byrne: Terrific. Thanks, Lindsey. Good morning, everyone and happy Cinco de Mayo. Most importantly, thank you all for joining our call. I'm Rich Byrne. I'm Chairman and CEO of FBRT. As Lindsey mentioned, our earnings release and supplemental deck were published on our website yesterday evening. So for this call, we're going to review first-quarter results and walk you through the current status of the portfolio. Will also give you an up to the minute update on our residential ARMs portfolio. Then we're going to open up the call for questions. The supplemental deck that we're going to be referencing and you've hopefully are seeing on your screen contains more information than we can cover today. But we hope and we think you'll find it useful as you evaluate the quarter.  After my initial remarks, Jerry, our CFO will cover our financial highlights, then Mike will discuss the portfolio in more detail and provide some really good general market color. But first, I want to go through FBRT's current position and the progress we've made in the first quarter of 2022. I'll start on Slide 4. We are very pleased with how our commercial real estate strategy has performed this quarter. FBRT produced Distributable Earnings, that's Distributable Earnings before trading and derivatives gains and losses on our ARMs portfolio of $40.1 million or $0.39 million a share. This equates to a 9.3 ROE on our core strategy. We view this distributable earnings number as our run rate distributable earnings and is indicative of the performance of our core commercial real estate portfolio. Importantly, our 9.3% ROE was attributable to our strong net interest margin, which in turn was the product of the high-quality loans we underwrote and the low cost and flexible balance sheet we have. We did not achieve this by using high external leverage. In fact, the leverage on our core book is only approximately 2.5 times. This as I'm sure you'll see is amongst the lowest in our commercial mortgage REIT peer group, and we did not achieve this by investing in [Indiscernible].  Our portfolio almost entirely consists of high-quality first lien loans. Our run rate distributable earnings more than covered our first quarter dividend of $35.5. So based on our 331 book value of 1,650 per share, this is an 8.6% dividend yield. The dividend yield at our current stock price is approximately 10%. Just our opinion, but we think this is very high as compared to the same peers I referenced. Turning to originations. We took a more conservative posture this quarter, choosing to hold back a bit and wait for spreads to widen. So far this strategy has worked out well. Mike will give you much more detail on this. Our total core portfolio ended the quarter at $4.6 billion. We have a well-diversified book with only one loan on watch list and a very strong backlog. Mike will cover all that as well later in the call. We continue to be an active issuer in the CLO market. This quarter we closed on our largest deal to date, a $1.2 billion CLO, further increasing our non-recourse non-mark-to-market liability structure. Now, importantly, I want to give you an update on our residential ARMs portfolio, where Fed rate hikes have made this market very tough. I'm sure most of you are well aware of this. The good news is that we made great progress on transitioning these assets into our core commercial real estate strategy.  We reduced our ARMs exposure by another $2.6 billion in the quarter. We ended the quarter with a principal balance of $1.9 billion. This compares to $4.6 billion at year-end and $7.1 billion in Q3 when we took over the company. As an additional update, in Q2, our progress in reducing the ARMs portfolio has continued to accelerate. The portfolio has decreased by another $1.3 billion since the Q3 numbers came out and is now only $649 million in size. In all we have sold over 6.4 billion in ARMs since we acquired the portfolio in the fourth quarter, which represents a 91% increase.  We have been extremely disciplined in our execution of these sales. We have transacted at or around the bid-ask spreads at the time of sale for mostly all of these bonds. Our objective is to continue the rapid pace of transition from residential ARMs to commercial loans, and we continue to be ahead of schedule. We feel confident that we will fully liquidate our ARMs portfolio well ahead of the original 12 to 15 months estimate that we gave all of you at the time of our merger. Our chief motivation for this transaction -- for this, excuse me, transition is the higher earnings potential, lower volatility, and lower historical leverage of our commercial portfolio.  Lastly, I'd like to provide a quick update on the company and manager stock purchase program. Our manager, Benefit Street Partners or BSP, has been actively buying shares since our blackout restrictions were lifted in late February through May 3rd. B PS spent approximately $21 million, purchasing roughly 1.5 million shares of FBRT common stock. BSP will continue to be in the market until it has acquired all shares covered by it's $35 million program. At that point, the company's $65 million program will be initiated. Before I turn it over to Jerry, I want to underscore the strong performance of our commercial real estate strategy. We are well-positioned to continue to generate Distributable Earnings in excess of our current dividend level. We are excited that the transition of our legacy, a residential ARMs assets into our higher-yielding commercial real estate lending opportunities is nearly complete. And that our future results will be more indicative of our core strategy. In other words, we will soon be a pure play commercial [Indiscernible]. Now I'll turn it over to Jerry to focus on the financial highlights in the quarter. Take it over Jerry.
Jerry Baglien: Great. Thanks, Rich. Hello everyone. I'm Jerry Baglien, the Chief Financial Officer and the Chief Operating Officer of FBRT. I appreciate everyone being on the call today. Moving onto our results. Let's start on Slide 5. As Rich mentioned, in Q1 FBRT generated a run rate distributable earnings of $40.1 million or $0.39 million per fully diluted converted share, representing a 9.3% ROE. A walk rate of our run rate distributable earnings to GAAP net income can be found in the earnings release. It's at the back of that and it will give you a full walk. We paid an aggregate common stock dividend of $35.5 per share for the quarter. And that represents a yield of approximately 8.6% on our fully converted book value of 1,650. Our fully converted book value declined this quarter from 1,725 at the end of Q4.  This decline is predominantly attributable to the trading losses that we had in our agency ARM portfolio. Net leverage at the quarter came down to 2.95 times with our recourse leverage ending the quarter at 1.3 times. The leverage on our core book, as Rich mentioned, is 2.5 times. And we expect our overall company leveraged to decline slightly as we continue to sell down ARMs portfolio and reposition to our core assets. Moving on to Slide 6. We have some added context to our run rate distributable earnings over the last few quarters. We just want to highlight that the run rate coverage in earnings continue to be ahead of our dividend rate. On Slide 7, I wanted to highlight the advantage of our floating rate portfolio for both assets and our liabilities. With the Fed's announcement of increases to short-term rates, our portfolio will see an almost immediate benefit in earnings.  This chart shows the per-share impact on our earnings with indicated rate changes relative to where rates ended the first quarter. So if you're going from where we were at the first quarter and then increasing from there, that's how you think about this chart. So all things equal in terms of our portfolio at March 31, the first 100 points basis increase in rates for March 31 results in a $0.04 increase in our earnings per share annually. Thereafter, it's about a $0.04 incremental increase for every 50 basis points of increase. And that's all on an annual basis. While index floors have helped insulate our earnings through the declining rate environment we've experienced the last two years, our weighted average floor is now 37 basis points. Through new originations and repayments, we now stand to benefit as these floors burn off. Now moving to Slide 8. We closed $603 million of loan commitments in the quarter. Our net portfolio growth was $319 million, bringing our core portfolio to $4.6 billion of principal balance with 166 positions. Additionally, we ended the quarter with approximately $500 million of add-on funding to take our total commitments to just over $5 billion. Now turning to Slide 9; this highlights our flexible borrowings structure. First, our average financing costs were 1.4% in Q1, and that compares to 1.6% in the fourth quarter. And when looking at our core portfolio, 81% of our financing is non-recourse and non-mark-to-market through our CLO financing. We also recently upsized our warehouse facilities and have quite a bit of available capacity there with six separate counterparties. And as Rich mentioned, in the first quarter, we issued $1.2 billion through a new CLO, which was our eighth issuance and our largest to date.  It was a 100% MultiFamily with an advance rate of 80% priced at silver plus a 172 basis points across the entire capital stack. Once again, this was very well received by new and existing investors. FL8 was on the heels of FL7, which we issued in the fourth quarter, a $900 million CLO. Getting both these transactions done with such a short window, further proves our strength in the CRE CLO market and the strength of our team on their ability to execute. These two transactions represent $2.1 billion of issuance at a blended cost of capital at 169. And because they're both managed CLOs will be able to actively reinvest in these transactions for the next couple of years. In consent with the volatility we're seeing in capital markets, the pricing of new CLOs today is meaningfully wider than what we did on those, giving us a clear advantage on a go-forward basis with a large portion of our liabilities priced well inside current market levels. Turning to Slide 11, we can discuss the ARM portfolio. As Rich said, there has been substantial market volatility during our first quarter, with the Fed announcing an end to quantitative easing and their intentions to raise interest rates via series of hikes. The effect on this was most evident in the pricing of our residential ARMs portfolio. As of 3/31, the market value to ARMs portfolio stood at $1.9 billion compared to $4.6 billion at December 31st.  We experienced trading losses related to that portfolio of $88.4 million and a hedging gain of $30 million for an ad effects of $58 million during the first quarter on the ARMs book and the related hedges. These losses are the main driver in our book value decline. Looking at Slide 12, you can see that we've had continued progress in slowing down the portfolio in the second quarter. We reduced the portfolio by an additional $1.3 billion through May 3rd. In the second quarter so far, the company has experienced losses of $6.9 million net of hedging related to the ARMs security portfolio. It's driven by changes in value, in addition to pay down, sales, and hedging. This equates to roughly a 8% decline in the book value per [Indiscernible]. With that, I'm going to turn it over to Mike and he can give you an update on what we saw in the market during the first quarter.
Michael Comparato: Thanks, Jerry. Good morning, everyone. I'm Mike Comparato, Head of Commercial Real Estate. I also appreciate you being on the call today. I'm going to start on Slide 13. This is the entirety of our commercial loan portfolio. The portfolio consists of 166 loans, of which 99% are senior mortgages. The portfolio is largely MultiFamily, with 72% of the book allocated to that sector. Our geographic footprint remains predominantly focused across the Southeast and Southwest. Let's move to Slide 14 to see our activity in Q1. As previously noted, we priced FL7 in December 2021 at LIBOR 164 and shortly thereafter priced FL8 in January 2022 at SOFR 172. We saw early in the quarter that spreads were moving wider and have long held that interest rates generically would be moving higher as well.  Accordingly, we paired back our originations for Q1 by about 1/3 of our budget, as we felt future opportunities will be priced more attractively. We ended the quarter having originated 16 loans for a total commitment of $603 million. Our thesis was correct on spreads, the patience paid off. Towards the end of the quarter, we elected to ramp up our originations and have a robust forward pipeline today and some of the most attractive spreads we've seen in years outside of the early days of COVID. MultiFamily continue to be our largest add in the quarter with over 68% of originations in that sector. We witnessed one of, if not the largest percentage increases in new treasury rates in my career during the quarter. While we did believe the direction was going to be higher, the velocity of the move back to slightly above 3% was remarkable and unexpected.  As a result, low cap rate assets are now experiencing negative leverage in both the floating rate and fixed rate debt markets. We believe this will translate to higher MultiFamily cap rates in the coming months and quarters and are being very selective on the MultiFamily credits we continue to add. As I mentioned last quarter, we are actively looking to increase exposure to non - MultiFamily assets if we can achieve what we believe to be the correct risk adjusted returns for those asset classes. We're very pleased with our decision several quarters ago to focus origination on higher quality, newer vintage MultiFamily assets, and strong primary markets. We believe in a MultiFamily valuation pullback, higher quality, newer vintage assets, and primary markets will be less volatile, have stronger value retention, and be more liquid.  We will remain disciplined in this environment and have ample liquidity to take advantage of the opportunities that present themselves. Q1 2022 represents the 22nd consecutive quarter that we've been managing the REIT and have not experienced a single credit loss on any loans originated by BSP. This no loss performance highlights a strong credit culture at FBRT and a robust experienced internal asset management team. At the end of the quarter, we only had one loan with a [Indiscernible] rating and overall believe the credit quality of the current portfolio to be very strong. With that, I would like to turn it back over to the Operator and begin the Q&A section.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions). We will pause momentarily to assemble the roster. And the first question comes from Jason Stewart with Jones Trading. Please go ahead.
Jason Stewart: Hey, good morning. Thanks for taking the question. And I appreciate the color on the cadence of activity of originations throughout the quarter. I was wondering if you could give us some thoughts on feedback in terms of market reception to higher rates and assets like MultiFamily, if you're starting to see those lending rates being pushed higher, if the markets pushing back or accepting them.
Michael Comparato: Yeah. Thank you. So I think we've been seeing a pretty remarkable slowdown in the transactional activity in the MultiFamily sector just in terms of acquisitions. Value-add buyers continue to believe that they can add value through the renovation programs, but I think the very different change is now they're experiencing negative leverage to a pretty meaningful extent through that renovation and transaction -- transitional period. So we've definitely seen acquisitions slow down. And speaking with market participants, buyers, accessing OEMS, bidding on transactions is down meaningfully compared to where we were about 90 days ago.
Jason Stewart: Okay. I appreciate that. And then how should we think about the roughly $0.5 billion of commitments that remain outstanding in terms of draw down schedule, or timing? How should we be thinking about that?
Michael Comparato: In what capacity? In terms of how much we're funding quarterly?
Jason Stewart: Correct. Of the committed but undrawn.
Michael Comparato: Yes. So, Jerry, you want to -- I know last quarter we did $65 million approximately. Do we have a projected forward run rate on future funding, Jerry?
Jerry Baglien: Yeah. I don't think there's going to be a major deviation to that. I mean, we see a general range of call it $45 million to $75 million, depending on how quickly the projects move through. I don't expect it to move materially from that range going forward. So I think that's a pretty fair assumption. So thinking about how spread out that is, that's obviously over the course of a couple of years that you're actually going to deploy that. There's always some portion of that, that never ends up being deployed, based on how business plans actually get executed.
Michael Comparato: And I would add to that, that there's a decent amount of that future funding is in our construction loan, MultiFamily construction loan business. And those are very, very attractive spreads. So a lot of the future funding you're seeing are going to be SOFR 650 to 800 type price credits.
Jason Stewart: Okay. That's helpful. Thank you. Last one and I'll jump out. In terms of the collateral mix of origination activity in the first quarter, the surprise is the industrial in there, given the appreciation for that asset class right now. Is this indicative of what we should be thinking of the mix going forward or are you going to push more into Hospitality, add retail?
Jerry Baglien: So we originated a fairly large retail loan at the beginning of Q2. It is a portfolio of long-term investment grade leases to retail tenant. So we're very pleased to get that out. I would say, generically, we are trying to look for non - MultiFamily assets. So we're looking to add industrial, retail, certainly hospitality, and we're also looking to do some more non-conventional stuff; condo inventory loans, condo construction loans. So we are looking to add yield and add other asset classes away from MultiFamily to the extent we can find the right credits at the right returns.
Jason Stewart: Thanks for taking the questions. I'll jump out now. Thank you.
Richard Byrne: Great. Thanks, Jason.
Operator: [Operator Instructions] And the next question comes from Steve DeLaney with JMP Securities. Please go ahead.
Steve DeLaney: Thanks. Good morning, everyone. If you'll allow me, I have some specific questions, but I'd like to just make a brief comment about the agency MBS market. We've been receiving -- since we launched coverage on FBRT, we've been receiving a lot of inquiries and questions from customers about the ARMs portfolio and the fair value losses. And I just want to say that JMP follows all 17 of the residential mortgage REIT s very closely. And I can say to anyone who is concerned about the ARM losses and how they might have been avoided, we basically are seeing every one of these companies down 10% to 20% in book value in the first quarter. And just this morning, one company mentioned they're down another 13% in book just in the month of April. So my view is it was wise to move expeditiously out of the ARMs.  Gosh, you can always talk about hedging this or hedging that, but we're in -- this is the reality of the world in the residential agency MBS base, that there are fair value losses broadly. Turning to the real business and the future of FBRT and why JMP was interested in picking up coverage, I'm curious on Mike's comments as far as opportunities to widen spreads. I think your comment to Jason about property types has something to do with that. But can you quantify in basis points what you think the pickup might be? Generally, above the 377 basis point average spread at March 31. Thank you.
Michael Comparato: So Steve, let me just give you a very high level answer to that. On an asset --
Steve DeLaney: Okay.
Michael Comparato: -- class basis for what we're seeing in the middle market and some of the larger loans that we're participating in. Generically, MultiFamily today, I think is around 350 over.
Steve DeLaney: Yeah.
Michael Comparato: We're seeing Hospitality credits roughly in the 500 to 550 range. And I would say retail and office credits that we like are somewhere in between those two, but certainly with a forehand. As you get --
Steve DeLaney: Okay.
Michael Comparato: -- into some of the more non-traditional asset classes, as I mentioned, some condo inventory loans, you can see 78 handle on the spreads. So I -- those are the asset classes. And obviously, our primary focus is credit first and then pricing second. But we're definitely achieving better returns in the other asset classes away from MultiFamily and industrial.
Steve DeLaney: Great. And obviously, you were very heavy in MultiFamily to begin with. Was it 70% or something like that?
Michael Comparato: Yeah. We are 72% MultiFamily. And I think I mentioned on our last call, we definitely did not see that going higher and hope that we will be able to pair that back by finding other opportunities. and other asset classes.
Steve DeLaney: Got it that's helpful, Mike. Thank you. My last question was about the stock purchase plans. Obviously, Franklin's program does benefits -- provide support for the stock in the market, but has absolutely no impact on your balance sheet or your book value per share. Once that's completed I guess, then management and the board has to decide what to do about the $65 million and that will obviously impact your balance sheet. Any -- the goal, I guess there is to be -- deploy that in a way that it maximizes the accretion. I guess the success of it will be measured by the amount of accretion you can achieve in your book value. And so Richard or Jerry, is there any target range that you could tell us or investors that you would look to deploy it without pinning you down on that? But I'd just be curious where you see value on a price to book value levels to use that money?
Richard Byrne: Sure, Steve. Well, first of all, we have about another slow more money to go on our $35 million purchase program through the advisor, as you said, Franklin or Benefit Street Partners. After that, it's $65 million from the company, just to bring everybody up to speed. That 65 we've thought about as dedicated share repurchase proceeds to support the stock, should it need it. And we're planning on spending that money as long as the stock is below book value. Hopefully it won't be, but we think it's an important support mechanism. We just brought the company through the merge -- the reverse merger broader public, and wanted to have as much firepower as possible to take out any kind of technical factors that could impact our stocks. So answered your questions is I think it's less about for us trying to try to time the market and work for the maximum accretion. It's mostly about supporting the stocks. So you'll see us in the market as long as the shares trade below book value.
Steve DeLaney: Got it. That's helpful. That's a little unique compared to some who I think just use it as a kind of a bottom feeding type thing when they're slammed down to 80%. But hopefully you won't get down there. You just had a large, I guess, the Series E converted mandatorily, April 19th. Any sense from those Investor Relationships, whether they are sitting on the stock, whether they're -- I know you can't speak specifically, but -- about any particular investor, but what is your sense that the mindset of those in -- those Series E -- previously Series E holders might be at this time?
Richard Byrne: Well, it's a good question, Steve. I mean, certainly can't speak for what their intentions may or may not be. We had an equity base of approximately $1 billion dollars pre the merger with Capstead. That, obviously, plus Capstead is to where we are today. Those shareholders consisted of the legacy shareholders, most of it retail, and about $400 million that we raised ourselves through the institutional market. The convertible preferred, which is now common, was amongst that additional capital that we raised from institution. So our expectation is that it's stickier, maybe even a little less fickle than retail can be sometimes. But probably I'll leave it to them to answer that question. But we've -- even while we were private, we treated this company as if it we're a public company. We did earnings calls just like this. We called them webinars, but they were calls just like this, and provided transparency. We've been pretty consistent in our performance, in our message, and hopefully our shareholders will be with us for a long time.
Steve DeLaney: That's great. Well, I think the retail guys, they're focused on that dividend. And I think as long as you maintain or even grow the dividend, they're going to be happy campers, I would expect. Listen, thank you all for your comments this morning and we look forward to doing this again on your second quarter call. Thanks.
Richard Byrne: Great. Thanks, Steve.
Operator: We have no further questions. So this concludes our question-and-answer session, and I'll turn the conference back over to Lindsey Crabbe for any closing remarks.
Lindsey Crabbe: Thank you for attending our call today. To reiterate, we are proud of the results we posted yesterday. If you have any further questions, please do not hesitate to reach out. Thanks.
Operator: This conference has now concluded. Thank you for attending today's presentation, and you may now disconnect.